Atul Sabharwal: Okay. Good morning everybody. Welcome to the Snipp Interactive Fourth Quarter and Full Fiscal Year 2024 Earnings Conference Call. At this time, all participants are in listen-only mode. Following the company's prepared remarks, we will open the call for questions. Please note that today's call is being recorded. Before we begin, I would like to remind everyone that today's call contains forward-looking statements. These statements are based on our current expectations and involve risks and uncertainties that could cause actual results to differ materially. For a discussion of these risks and uncertainties, please refer to our public filings available on our Investors Investor Relations website. We undertake no obligation to update any forward-looking statements made during this call. Good morning everyone and thank you for joining us. 2024 was a pivotal year for Snipp. We continue to transform our business, focusing on high margin platform based offerings, and I am proud to share that we delivered the highest annual and quarterly EBITDA in our company's history for fourth quarter. We also made strong progress on several strategic initiatives. We signed the first major contract for our financial media network, we grew our SnippCARE and office product with large consumer brands, and we continued expanding internationally, particularly across Europe. All of this is happening at a time when brands are urgently seeking measurable, data driven ways to engage consumers directly. Snipp is uniquely positioned at that intersection and we are just getting started. Let's first take a quick look at the broader market environment driving our momentum. The digital coupons market was valued at $85.3 billion in 2023 and is expected to exceed $200 billion by 2032, growing at a cumulative aggregate growth rate of 7.84%. Over 80% of marketers now prioritize first party data strategies amid evolving privacy standards. Private labor growth is putting pressure on national brands, increasing the need for targeted promotions. 76% of U.S. consumers are actively seeking discounts and loyalty rewards due to inflationary pressures. Retail and financial media networks are on track to surpass $100 billion in ad spend by 2028 with a CAGR of 17.2%. These trends highlight just how well positioned Snipp is to help brands adapt and thrive. Before I move to our financials, I'd like to discuss an important change being made to our leadership team. Malcolm Davidson has been appointed as our new interim Chief Financial Officer, replacing Richard Pistelli. We thank Richard for his contributions during a critical period and wish him well in his future endeavors. Malcolm brings nearly 20 years of experience operating, financing and developing both TSX and New York Stock Exchange listed companies. His expertise in public company operations and capital markets will be instrumental as we enter this next phase of growth. Strengthening our leadership team is a key part of our broader investment in scaling the business for long-term success. We look forward to introducing Malcolm to you on our next call. I will now discuss our financials. Revenue for fiscal 2024 was $22.89 million, down 25% from 2023. Revenue for Q4 totaled $6.83 million, down 14% from Q4 last year. Please note this decline was anticipated following the planned exit of a single, and I repeat, a single low margin legacy contract that we inherited at the time of our last acquisition. Investors should note that our core revenue grew year-over-year quite nicely and has sustained 28% CAGR over the last three years. With record backlog, improving profitability and strengthening leadership, Snipp is entering 2025 with renewed momentum and a compelling foundation for sustained, profitable growth. More importantly, our revenue mix continued to improve significantly. Gross margin for the year expanded to 61%, up from 31% in 2023. Gross margin in Q4 was 62%, up from 39% in Q4 last year. EBITDA for 2024 was $703,000, a major improvement from a $1.91 million loss in 2023. Q4 EBITDA was with $582,000. Our bookings backlog at year-end stood at $17.3 million, up 30% compared to the end of 2023. This represents a very healthy pipeline growth and gives us a strong visible future into 2025. We ended the year with $3.7 million in cash and remain debt free. As mentioned in our earnings release, the company intends to promptly submit an application to have the failure to File Cease Trade Order removed as a result of the delayed filing of the Company's audited financial statements for the fiscal year ending December 31, 2024. The Company expects to resume trading on Tuesday, May 20, 2025 or thereabouts. Our audit filing was delayed simply because of an IT systems test that the auditor decided to carry out at the very last minute. Going forward, we have instructed our auditors to please meet with us quarterly to inform us of any new standards or changes in their audit procedures and to definitely initiate the audit earlier than March. We recognize the disruption this causes our investors and really apologize for any inconvenience it has caused in their trading strategies. Let me now touch on some of our strategic achievements. First, our Snipp Media and our new office platform continues to scale meaningfully. In January, we announced our first major contract, a seven figure agreement with one of the world's largest food and beverage companies delivered through our office platform with Media delivered via Financial Media Network in partnership with Bank of America. We continue to build awareness with consumer brands across our financial media network and the new tactics that it enables while continuing to build our audience reach. Our audience access is expected to approach 150 million U.S. consumers as new financial institution and publisher partners go live in 2025. Our platform is already engaging over 30 million monthly users and we have seen strong conversion rates for our SKU level grocery offers. This level of engagement not only validates the consumer appetite for bank tied promotional incentives, but also reinforces Snipp Media's role in as a new channel for brands to drive purchase activity and collect actionable first party data all within a privacy compliant environment. We are also in discussions with leading marketing technology vendors on partnerships and distribution opportunities as an initiative to increase the volume of offers and brands. Second, our SnippCARE offering has continued to expand within existing client relationships, sporting brands across new verticals and new geographies. In Europe, we made meaningful strides as well. We expanded our team with new hires focused on Western Europe and we're already seeing results. The new Smile promotion with Colgate Palmolive in the region, renewed multi country work with Hikoki Group across the Netherlands, Spain, Portugal and Poland and expanded B2B program with Solvatem [ph] across five EU countries and extended business with Draka Prysmian Group in the Netherlands. All of these illustrated both the synergies of our U.S. based clients, expanding the Snipp footprint within their organizations globally, but also a new set of clients that we have not previously worked for in industries outside of our CPG core. In addition to geographic expansion, we've continued to build bench strength across the company. We're investing in our future. As previously mentioned, we've hired a new Chief Financial Officer, invested for the first time in formal product management as well as brought on a full time human resource professional. My goal is to build a world-class team that can enable Snipp to scale to new heights in the coming years while also cultivating a new generation of leaders to take Snipp into the back half of the 2020s. As we look ahead to 2025, I'd like to leave you with three key takeaways. First, Snipp has achieved profitability both for the year and the last quarter across margins and EBITDA at record levels. Second, our client momentum and pipeline remain strong, supported by expanding programs globally. Third, we continue to invest in the business through platform innovation, new talent and deeper customer relationships, all of which position us for sustainable long-term growth. Thank you all for your continued support. I'm excited about the road ahead and look forward to sharing more actually in a few weeks with our first quarter results. Okay, at this time we can do questions as we have in the past few times. Either you can put it on the chat or put your hand up and I will unmute you. And I will try and unmute you.
A - Atul Sabharwal: So yes, I got a first. The first question was are you sharing slides? The slides are already updated and on the website under the investor section.
Unidentified Analyst: So the second question from Anise [ph]. Hey, good morning. Can you provide directional commentary around growth rate for 2025?
Atul Sabharwal: Look, I think, if you take out the one contract causing our revenue blip, you'll see revenue growing quite nicely year-on-year. We aim to continue this trajectory. It would be a miss for me not to say that, this whole tariff situation is an unknown for everybody. Typically Snipp does not get affected by a downturn. The types of programs and the product mix that clients do simply change. But this is new because no one knows what's going to happen. So everybody's kind of waiting and watching. So I don't believe it will impact us tremendously. But we will continue to watch it closely. I think you will be quite happy with our Q1 coming out soon. And the year does look nice from a bookings perspective, as you guys can see. So let's see, I just don't want to overstate any kind of optimistic view that I might have at this stage.
Unidentified Analyst: I guess the next question was are you affected by any tariffs? I think I just answered that question. The next question was should we expect further Snipp Media contract wins this year or it's too early?
Atul Sabharwal: Look, Snipp Media is at an interesting point, right? We built some amazing technology. We have had it validated by leading financial institutions at the level of security and privacy that they require. They have integrated with us. I think if you track the industry, you can see that we are also causing some fundamental changes in their vendor ecosystems. So it's, it's all built, now comes selling it to make money, right? And that is like, as I've explained to a few of you who've called me, is a chicken and egg problem that we have to break. And we are going to break it. I have no doubt in my mind that we will. It just takes a little bit of time. And what I mean by that chicken and egg problem is that you need to have an audience at the same time. If you have that audience, you need to have brands who want to hit that audience. So the first part of that chicken and egg problem was, hey, let's build the audience. I think we're there and we're building it even further. Right. We've been announcing new publisher partners and you'll see that audience growing as that audience grows. Brands can't ignore them, but they'll want a trial and they'll want to test. So the simple answer to your question is, should we expect Snipp Media contract wins? Absolutely. I just don't have visibility exactly into what that's going to transpire, but I can already see it cracking and more and more brands calling us, talking to us, more and more publishers calling us and talking to us, and the impact of that hopefully will be seen on the back half of this year. So let's see.
Unidentified Analyst: Okay, the next question from any new products in the pipeline?
Atul Sabharwal: Well, we always looking at new products, right. We, we have a few different ideas. I don't want to put out there publicly the things that we are focusing on. I would say this, that we didn't go through an acquisition with Gambit for no reason. And part of that is building out something for the sports vertical that we've been actively involved in thinking through. So that's one area that we are focusing on. The other area that I am quite passionately seeking to disrupt is how movie tickets are sold and in the U.S. and how those movie tickets are used in the promotional space. So hopefully something around those lines will come out at some point soon. But yes, we have a few different product ideas in the pipeline. Also just I don't want to beat the AI bandwagon, but there's a lot of stuff that AI is enabling. We aren't silent about it. I would encourage all of you guys to go to our website and play around with our Snipp consultant. I dare say it's a better salesperson than I am or any of my salespeople. It's been trained on our AI. It's doing fantastically well. So there's a lot of opportunity in that space for our products and the iteration of our products in the future. But I don't want to spend too much time talking about just new products and how we're using AI in those products that we have already for the next generation, because I could spend the next hour talking about IT but happy to talk to you guys one on one if anyone's interested.
Unidentified Analyst: The next question, Ben [ph]. Hey Ben. Any read through or implications from CDLX losing both. Cardlytics losing BofA as a customer, given it is one of your media customers.
Atul Sabharwal: Look, I'll say that our technology is our technology and it speaks for itself. Our client relationships are our client relationships. We are a small little penny stock company listed in Toronto that has managed to break into large companies that have established relationships with large providers like Cardlytics. Are we influencing how they look at the world? Of course we are a new generation of technology coming to the front, by getting contracts with these companies it says something. So is that, is there an implication on that, on their relationship with other vendors? I don't know it that's between them and those vendors, honestly. But there is a lot of stuff that we can do that Cardlytics can't and there's a lot of stuff that Cardlytics does that we can do. So I'll leave it at that.
Unidentified Analyst: So, next question. New products with AIM I guess. Look, I just spoke about that. Call me. Let's have a deeper discussion. Next, how should margins evolve this year relative to last year? Should we expect for the EBITDA growth as well as revenue growth?
Atul Sabharwal: So EBITDA growth is a -- look if, if I were not to continue to investing in our business, I would say absolutely, you'd see EBITDA growth. But we're using our own earnings to reinvest in the business that's going to take away from EBITDA. I guess the question investors should think about is do you want us to be a $25 million company generating 5 million in EBITDA? Would you rather us be a $50 million company generating no EBITDA? And that's, that's the strategic, parts we have in front of us. Right. I want to build this to $100 million business. That's what I've been doing for the last 10 years, building it block by, by block. So our goal is not to generate cash from this business today, but it's to reinvest the cash that we do generate from this business for tomorrow. And that's the way you should think about Snipp. We don't want to lose money, but we do want to grow profitably.
Atul Sabharwal: That was the last question on the chat. Anybody else, any other questions? If not, feel free to call me. Malcolm is now up and running. He is working pretty hard on getting a Q1 out of the door. It will be on time since we don't have an auditor involved in looking at the numbers. So, yes, we'll talk to you guys in a couple of weeks. Thanks, everybody.